Dev Seidel: All right. Good morning, and welcome to FOB's Shareholder Call. In our webinar today, we'll be discussing Fobi's financial highlights. My name is Dev Seidel, and I will be the host of the webinar today. Along with me, I have Rob Anson, Fobi's CEO and President; and Mark Lots, Fobi's CFO. The agenda today will be fairly simple. As you will follow, Mark, we'll start by going over the financial highlights. Next, Rob will provide more detail and insights on how these financials relate to Fobi's business and talk about recent milestones and that the company has completed. And then we'll finish off with the QA. You can use the Zoom Q&A function below. Please use that one to submit your questions, and we will save time for the Q&A section at the end where both Mark and Rob will answer your questions. I'm going to start off here going to our first slide, and I'll pass it over to you, Mark.
Mark Lotz: Thank you, Devin. Good morning, everyone, and thanks for attending. I'll speak to the revenue starting off Slide 3. Revenue has increased five [ph] quarters for the last four quarters, and this period saw a significant increase of 59% to $923,000 from $580,000 in the prior quarter. In the prior quarters, we acquired a number of assets which began to report sales, and this led to the significant improvement. We've also seen a diversification of our revenues through multiple products now in multiple regions. The U.S. and the EU account for our largest increases. Operational expenses for the quarter totaled just over $5 million, of which $2,870,000 was a noncash share-based compensation, which I'll speak to next. Next slide. Net income for the period was a loss of $9,474,000, but as we can see from this chart, the largest share of the losses was a noncash item, share-based compensation of $5.4 million, leaving us a net cash loss of $3,858,000. Next slide. Operationally, cash has been deployed in the development of a dynamic suite of solutions, employing a team of over 70 full-time and contract employees. The company made two loans in the process of acquisitions for PassWallet and Qples, and these amounts totaled over $1 million, the company is contractually entitled to receive these back within the current calendar year. Next slide. Accounts receivable has increased from $1.2 million to $1.9 million in the quarter as the company rapidly grew its German and U.S. operations. A significant portion of the AR has since been collected and post the period end, much of the remaining is due from CRA in the form of GST refunds, which have been recently validated and we will be receiving shortly. Next slide. Total assets grew significantly in the period from $12.3 million to $15.2 million due to successful M&A activity in the quarter. This includes a large component of intellectual property. And I'll let Rob speak to that. Next slide, please. Accounts payable has increased $207,000 from the prior quarter. Although the company didn't really see an increase here, this was more due to timing of payments. Also as part of the Qples acquisition, the company recorded $577,000 of contingent liability, which is directly tied to sales performance, bonuses or contingent consideration, as we call it. This will only be paid if certain revenue thresholds are met on the Qples assets purchased in the quarter. If the targets are met, we would welcome the expenditure. Next slide. Working capital has declined slightly from $8.9 million to $633,000 [ph]. And again, I stress a large part of the expenditures has been related to noncash share-based compensation, which is based on a Black-Scholes formula requiring a significant allowance for the volatility of the stock, which we all know has been quite high in the period. The other reason for the decline in working capital has been, as I said earlier, an allocation of cash resources to acquire intellectual property. With that, next slide. Rob, all yours.
Rob Anson: Thanks, Mark. A couple of things before I'd start, I'd like to point out is working capital, Mark, was $6.33 million, not $100,000. And when we look at operational expenses, that was for a 6-month period, I believe, you were speaking to...
Mark Lotz: That's correct.
Rob Anson: Yes. Just wanted to clarify that. So people don't fall off from their chair.
Mark Lotz: Thanks for clarifying.
Rob Anson: Thank you, everyone. So I'll start today by speaking to key products that we released during Q2, which was Kai Care, Empower Clinic's test, the integration. Obviously, for us, when we look at our operability, this was a great use case for as to cut our teeth on when we look at the ability now to integrate with any existing LIMS health care providers. This has given us great opportunities as we discover the health care is a vertical and significant opportunity around interoperability and automation as per demonstration in our most recent WebEx. Janam integration was a very significant product release and key partnership with us. as we saw great success in our use case launch at the NCAA event in Florida with fully integrated ticketing solution. So I was a very significant achievement for the company for many reasons around data security and integrity and operational security. This helps us as we see here moving into health care and continued process around data security and privacy and all of the other compliance check boxes that we need to check during our government and Citi Town Council opportunities. Next slide. Various contracts that we've signed in the release, as everyone is aware, I'm sure Stratosphere [ph] which was our CheckVax Venue Management Solution in Las Vegas. We signed and announced deals with University of Nevada, Las Vegas and University of Nevada, Brown NCAA [ph] men's and women's basketball and for the universities, once again, CheckVax Venue Management. REVELXP, which is our wallet pass engagement platform that we ran for them. S4S was obviously, when we looked at the world of reduction of carbon footprint was a key use case that we've leveraged over and over. That was around gift cards and our wallet pass engagement platform. One of the largest golf course owners and operators in North America, we've now got a fully integrated member card and wallet pass engagement is on the road map there. The RSPA Inspire conference once again, CheckVax management as we are now looking at reentry to the world as we once knew it and what does that look like from a digital transformation footprint. And the biggest one I would say for us is in value of all was our Amazon fulfillment and reseller partnership, which we announced, the distribution direct from our manufacturers for our new Fobi 3.0, direct distribution through the various facilities gives us the ability to now not just grow the product, but scale incredibly fast and eliminate that heavy burden and load, so managing all of our own distribution. Next slide, Devin, please. Obviously, it was an incredibly busy quarter for us when it came to strategic M&A with our contract and solidification of the Qples deal. And as we closed on PassWallet and entered into our LOI to acquire Passworks. Next slide, Devin. This was a good one for us. I think, obviously, there's other increase in revenue. We've been very clear as to we're building a scalable, sophisticated business. And as I've said previously, this is very difficult to gain and judge perhaps as a trade, this is a long-term investment. We've been very clear as to the objectives and value proposition of where we started, but more importantly, where we're transforming to with the mergers and acquisitions as discussed on the previous slides and of course, past with -- starting with PassCreator and others. When I look at the revenue this quarter, I was actually very satisfied with it simply because of the fact that a lot of the U.S. opportunities with the U.S. Thanksgiving and of course, legal shutdown mid-December, puts us in a very good condition and shape here for next quarter, whereas we expect to see continued growth once again. We're building a long-term, viable, scalable business. And for me, I don't judge it based on, day, month, quarter, I look at the year-end as to where we started, where we ended. And I'm extremely confident here is the growth and trajectory and scalability more so of the products and where we're headed. Next slide, Devin. So look ahead, obviously, we've had some significant news, announcements our next quarter coming up. And we've been very active is to doing our best to educate our shareholders. Obviously, I spend a great deal of time, especially in moments like this, trying to answer and give as much insight as I can as to where we're at and best of my ability to share the limited capacity I have is to where we're headed. The one thing that when I look at big component of validity to me is in third-party validation. I know the shareholders don't get to see all that's happening in the background, of course. But there are some very exciting things from the capacity of not just current partnerships and projects but more so new opportunities and verticals as we continue to release and validate new technologies and micro services, which provide this automation and interoperability. And as I mentioned here with the hopefully knocked on wood, continuation of elimination of restrictions and the new world as we come out of COVID and the pandemic. We are extremely now well positioned to take full opportunity not just in that process but working with our services team now to be able to facilitate a lot of the heavy lifting for organizations that are trying to catch up. New products, as I've mentioned, we've seen great growth in product capabilities with our engineering team. We have an incredible team that Tamer has built in-house. And as we can move extremely quickly, and we have the horsepower now, was one of our biggest risk last year as most companies are witnessing now is human capital. Our team is extremely solid, and we're now able to leverage that to create different line revenues and more importantly, as I said, eliminate that need and burden, if you will, of heavy lifting for partners that aren't set up to transform their business at the rate and speed of which current climates and conditionings are moving forward. One of our biggest focus is now is an early-stage company, was always channel reseller simply managing our current cash rate and opportunities, of course, running in parallel, fine balance has been really focused now and for the first time, is standing up a direct channel sales team, and it's something that we're extremely focused on is we do have a multitude of products is now hiring in-house to expedite and grow these opportunities and product focuses and truly create product specialists. For us, so obviously, it's not the easiest story to tell as we have so many different capabilities and are able to stitch so many things together. Having our team are very focused on now becoming product owner and product specialists is the key and very successful early days on our small direct sales channel team. Our pipeline, we've got an incredible opportunity, I think one of the biggest things now, as I mentioned last quarter is finding that balance. I've had numerous calls and e-mails and messages over the last week here around, we were surprised to see revenue growth because we didn't see a great deal of news releases. For us, it just shows the balance and the monthly recurring model of SaaS that we are building and growing gains from our integrated partners of previously disseminating press releases around for the point-of-sale partners and others. And as we continue to focus on the small to medium SMB landscape with Square and others, this is right in our wheelhouse. So the direct sales channel team and partnership team here has their plates full with, of course, great opportunity. And when we start to look at where we're headed as far as some new partnerships globally puts us into a great focus now for Australasia and APAC. The revenue side, we expect strong revenue increases for us, there's new verticals, new opportunities, new partnerships. And as we move out of the pandemic, this is great news for us because businesses are in need of transformation. And I expect to see continued growth as we move from not just next quarter but throughout the year. Next slide, please.
A - Dev Seidel: Right. Thank you, both Rob and Mark, for that in-depth analysis of financials. We'll now move into the Q&A section. Again, there's quite a few Q&As already lined up if you'd like to submit, you can use the Q&A function below using Zoom. But we'll start off here, Rob. And what I assume to be about the share price for the first question is, how can you sit here so calmly and convey a message that nothing is wrong?
Rob Anson: Well, I'm not sure what's wrong. I'm guessing they're speaking to the share price. I'm not really sure how I'm supposed to sit here other than calmly. This isn't the first time if you want to call it, adversity, if you will. We've started at $0.80. We went all the way down to $0.05, back up to $2.97 a few months later, down to $0.92 a few months later, big consolidation at the $1.20 level. Did our financing and went to $3.98 million, few months later and down to where we are today, $0.70, $0.71, $0.69, whatever the number is. Look, I mean, adversely is an interesting thing to me. If you kind of deal with adversity and volatility, then the small-cap is not going to be your friend. We are a young, emerging, small-cap tech company that's been extremely active and busy and not just, of course, in mergers and acquisitions, but we've now looked to create global scale of which we have. I don't -- number one, I know I never will be for excuses, I want to argue with reality you're wrong 100% of the time and the broader markets are what they are and certain global events are where they are, I don't look at those at all. All I look to do is each and every day is how do I make the best decision possible for the benefit of the company long term. If you make decisions based on Monday, the futures were off 500 points and what are we going to do today you're doomed. Because when you -- just as we see here, this is why the big banks always win because got numerous people were last week, telling me they got hit on their stop-loss and lost half their money. First off, I don't control, obviously, the markets that don't control the share price, I wish I did. But for us, when I look at it is, as I said, this is a long-term investment. Nothing goes straight up. Did I expect to see where we are today? No, not at all. But the reality is we are where we are. And the company is itself isn't reflected in the current value of today, I believe. And as I said, I am extremely focused on making the best decisions. Our team is focused on execution. And when we look at the markets -- or are they going to stay here? I don't believe so, but I also don't control many of the third-party influences and beliefs and people panic, they sell, and there's a new shareholder base. And like I said, it is what it is. This is my fourth time that we've seen this, and I'm pretty certain it's not going to be our last time. So this is -- all you can do is continue to focus, continue to execute. And at the end of the year, it will take care for itself. This is one day, one week, one month, one quarter. Everyone has their day per se. And I'm very confident as to where the next quarter is going and where we're headed.
Dev Seidel: Why don't you put out a news release about the company losing $5 million in Q2.
Rob Anson: Yes. That's a funny one. We don't put out a press release around the company losing $5 million. Obviously, when we put it up on the wire, the providers pick up and go through and create their own titles. Is that reflective of true loss? No, no, it's not. I think Mark did a pretty good job is to explaining that as to how the number comes to that. On the share-based compensation, is it is what it is. That's -- it's a measurement. The true actual burn of the company is just over $600,000 per month. So it's not truly reflective in that number. And like I said, at the end of the day, is I don't create these rules and as to how they're reported. I can only abide by them. So it's -- to me, it's something that's a bit distorted per se, but it is what it is. And they have the ability to put it in their titles to see whatever they want. And it's just like people can hang on to spin negativity or focus on positive and optimism. And that's up to each individual shareholder in the market. So it is what it is.
Dev Seidel: There's quite a few questions on share price. I know you just touched on it on the previous question, but just to see if you want to add anything. The question is how are you going to fix the share price?
Rob Anson: Well, once again, I don't control the share price, of course. We've been looking at minimizing a lot of the news, if you will, around what people say is nonmaterial. It's obviously, you're -- as my dad would say, if you want to make everyone happy, you go sell ice cream. Well, we're obviously, when I look at news, there are certain people that want to see as much as they possibly can get to make a decision and understand. There's others that only want to hear about revenue in term of deal. So we're trying to do our best to find that balance. And like I said, we're -- our Q2, which is calendar Q4, is challenging, simply because of legal negotiations, hence, why I'm very confident as to our next quarter and the acceleration and perhaps of some of the news flow to come?
Dev Seidel: What happened to the NASDAQ uplift? And is this something that is still in the works?
Rob Anson: NASDAQ uplift, we've checked a lot of the boxes and down that road. It's the same side as it here is I don't see the -- I mean if I put out a news release tomorrow that company is doing a 5, 6:1 split to meet the requirement for NASDAQ. I'm guessing my inbox will be absolutely flooded and my voice mail would be full within half an hour. So once again, we're focused on execution. You can't force every issue, just like I can't make a market to stay $3 for 30 days for me, at least, I've seen other companies do splits, and they're now trading lower than they were before. So like I said, for me, I'm looking at long-term shareholder value and making the best decision and I currently don't feel that, that is the best decision for long-term shareholder value. And in no ways am I panicked to make these irrational decisions as some may suggest. We continue to look to execution. You have to execute and forget about all the noise. Right now, there's a great deal of noise. And as I said, for us, we're just simply focused on doing what we do, continue to deliver, continue to execute and tough time and pain are only temporary. And as I said, I've seen this before, I'm not panicked whatsoever. And times will pass and things will get better and that's all I can do, build the business and execute.
Dev Seidel: How can you justify $5 million a quarter burn rate/loss?
Rob Anson: Not sure if people are listening or perhaps they're not attending this. But I think we've already addressed this. Our actual burn rate is this quarter is about $1.8 million. So as I've said and as Mark alluded to in his presentation, the share-based compensation Black-Scholes model plays a big part of that and as well as the loans that we did to clear up some of the creditors for the acquisitions, not a true reflection.
Dev Seidel: What is the company's biggest risk for the remainder of 2022?
Rob Anson: Biggest risk, for us, it's very easy in our position with all of the horse power and capabilities at which we do possess to get distracted by I'd like to call it shiny balls. There are so many opportunities. We went extremely wide early days on intention, it was to validate the technology, learn as much and fail as fast as we could and in some cases. But to really hone in on the business model, the pricing model and to learn and listen as to what the takeaways were, what the customers and clients were looking at and what improvements and updates and modifications that we could make to our technology. Out of that as we're starting to see now, we're more focused on going very narrow and long. And this is why we're starting now to gain traction in the revenue perspective quarter-over-quarter here. And when I see the ask is we get approached every day, can you do this? Can you do that? And fortunately, I would say the answer is yes. But we're very, very cognizant now as to the next quarter, the next coming quarters as to our time management and looking at just simply sticking to the execution and strategy and plan that we have in place. Yes, I would just say -- sorry to cut you off. But I would just say for us, it's -- that is always the biggest challenge, it is time management and I'm the biggest challenge there because, obviously, not having a dedicated IR person takes away a lot of my time. There are certain people that e-mail me, message me seven, eight, nine times a day which I simply can't get back to you anymore. I do my best to give visibility and get back to people within a 24-hour period, sometimes faster, of course, in other circumstances. But I need to be given my time back as well to build the business, execute the business and spend more time on focus on introductions and working with institutions and family offices and doing retail presentations again. It's been an incredibly busy four to five months off late, and being tied to the business a lot. I'm making very cognizant decisions and focus now of my time allocation to get back to telling the story because we are a young story and a great deal of the U.S. and European investors have no idea who we are. And that's where my focus and time is going to be stepping away from a lot of the business development and opportunities and putting that on the shoulders now of our internal team, now that we have those resources in place, and spending my time focusing on the introduction now in growing the story. And quite honestly, now that travel is becoming easier, getting on the road again, and demoing our stories in person is something I'm really looking forward to.
Dev Seidel: You said the first year was crawl, second year was walk and third year is run. When is the company going to start to run?
Rob Anson: I think it's -- there is a lot when it comes to what we've done here and transpired as we've seen with three acquisitions in this reporting quarter. We've been running full rate capacity, I can show you that very long days of integrating all of these networks and systems right across the board. As I said, the shareholders, unfortunately, don't get to see what's happening in the background. I can assure you that we are running. And some of these things, obviously, are -- take longer than we anticipate and want. And the bigger the companies now that we're dealing with, some of it is around simply privacy and disclosure. So there is going to be a ramp-up of news on the things that we have been working on, that we have implemented. And when I start to think about what that looks like, Devin, once again, here is -- I don't -- I can't get hung up and run in what people want us to do. It's -- we were going as fast as we can, responsibly. We're very, very strategic and methodical, both the growth and positioning of the company. We're not playing checkers here, we're playing a game of chess. And there's few things here that strategically -- patience plays a big part, and I think this is something that I've learned a great deal about in the last six months to a year is strategy and patience as to timing and not just blowing your brains out for the sake of blowing your brains out and I told you so. There's -- if you look back, the companies have runs, it's after a consolidation, and [indiscernible]. And I think right now is we're at that point, and it's -- for me, I don't get caught up and you're up this much, you're down that much. It's like I said, you're never worth anything until you sell or you've never lost anything until you sell. So we're looking to continue to plan and execute the plan. And I think what I can say is that very confident as to the velocity of projects that people were expecting to see perhaps on the horizon here.
Dev Seidel: During the webinar with Dragonfly and Empower Clinics, you mentioned healthcare a few times. Will healthcare finally become a focus of the company?
Rob Anson: Healthcare has been a focus of the company. And as I said earlier, there's a lot of different opportunities and levels, quite frankly, within healthcare. When I look at the opportunity of healthcare, SOC2 was one of our biggest challenges. Of course, that when you look at audits and checking boxes, that's one of the key ones for us as well, now working through the ISO is another certification that for Europe and global is a big one, and it's something that we've begun that process with. Healthcare is perfect for us for many reasons, the verified credential aspect, the utilization of wallet for identity, the interoperability as a data-first company is a key one. The way we manage and store data, whether it's fully encrypted in storage, in motion, it's all be identified. And as I said, the integration with Empower Clinics was the key one; it gave us a great deal of insight to the opportunity, holes and gaps in the marketplace. But more importantly, it provided us with the means and ability to build those fundamental building blocks. And the way our team has constructed everything with building micro-services gives us great agility and enables us to adopt and integrate all existing IT infrastructure. So, healthcare most definitely will be something that will be a lot more active on and focused on and a great deal this year.
Dev Seidel: There is one specifically, there's a few by our people here, so I'll try and combine them into one. Why are you so bullish on Qples and 8112? And can you explain why so much effort is going towards coupon, discounts and 8112 with the company now?
Rob Anson: Sure. Let's start with the first part. Why am I so -- why was I -- why am I so bullish?
Dev Seidel: Yes.
Rob Anson: When I look to the opportunity of Qples, to me it's the same thing as we saw with COVID. As I've said we've seen 20 years of digital transformation in the last 2.5 years, I guess now it's been -- if we go back to Y2K, I'm dating myself a bit here, but there is billions and billions of dollars made simply in services rendered by transition and transformation from old to new, much like we're about to see here with Metaverse 3.0 and what-not, DeFi and blockchain. This transformation from whole to new is extremely lucrative, and it's always the early adopters of those technologies, it's always the companies that become gateways, if you will, and bridges that lay fundamental blocks that enable these large, large organizations to move and shift from what they know today to the next evolution of tomorrow. And that's exactly what I saw in the Qples being able to transcend what clearing houses and publishers are doing from a marketing perspective of 8110 to the new standard of 8112 utilizing the digital footprint of the wallet, but more importantly, bringing the attribution in real-time measurement, which our Fobi Data Exchange brings to the table. That is my excitement and why I'm so confident or bullish as it was put here; that's exactly it. I'd rather be an early adopter, early mover than late to the party. And we're on the cutting edge of new technologies and transformation. Today's news release with P&G and Target and others here, this is something that we've been brought into at a very close level and it's now put us in a position to reap some of these rewards and risks, if you will, to all of those who thought I was crazy to investing into a coupon and promotion company. The marketing dollars that are deployed, we're talking trillions of dollars a year by CPG manufacturers. Now the new standard through Keplan Bureau [ph] and 8112, we are that gateway; we are the gateway in transformation from old to new. We have every level covered, and this is why some of these groups as people will start to see here have knocked on the door, but more importantly, came and sitting at our table. And what was the second part to that? I apologize.
Dev Seidel: Just why so much effort moving forward with coupons and discounts. I think you touched on that there.
Rob Anson: Yes. I think quite honestly, part of the naysayer feedback I have had in the last, let's call it three weeks a month is people refer to them is bullshit [ph], waste of time and resources as far as WebEx events, but I completely disagree. Our WebEx series that we most recently had with Mike and Eddie and Brandy from Keplan Bureau [ph], we had tremendous outreach from the CPG manufacturers to that; that's a win. Where it's a win-win, in this case here is, to me it's about shareholder understanding. We're talking about things that haven't existed before. We're talking about new technologies and applications that are transcending and about to transform some of the largest industries there are in physical retail as we see here with Mary in her role. And when we look at the shareholder education piece, to me that's the biggest one because I'm perplexed around some of the people that they don't -- simply don't understand what it is we've done to date and where we're headed. And shareholder education is a very big focus of ours, letting people understand, seeing firsthand, not just the transformation but the application, what are the problems, what is the value proposition, why Fobi, if you will. These WebEx series have created huge momentum for us, not just from an industry perspective but there has been a lot of great feedback from shareholders as well that have a better understanding as to where we're headed and why.
Dev Seidel: Next one relates to a little bit of what you're talking about there. Today's press release with Procter & Gamble and Target, these are obviously very large brands and retailers; are these potential new clients for Fobi?
Rob Anson: Yes. We've had a lot of organizations in the distribution, publishing, clearing retail, and CPG, manufacturers reach out to a lot of the data companies are reaching out as well. It's extremely powerful what we provide, not just -- and this is part of my strategy; it was -- Fobi Data Exchange, real-time analytics, this and the forecasting AI modeling, what happened to that; and that's gone nowhere, it's gone stronger. The data segmentation piece of which we've built out now is extremely valuable. And this is why the likes of the companies you mentioned here have knocked on the door and are sitting on the table because it's attribution that we're providing, it's measurement; that's one of the key ones. It's real-time, it's a verified, and it's extremely powerful; it hasn't existed before. So real-time attribution measurement at the transaction level is very, very, very powerful. So for me, when -- this is a great opportunity. I think once again, it's third-party validation brings a lot of credibility to be working alongside with not just these two but others that have reached out and understand that it's a big transformation. It's a huge heavy lift for these organizations to undergo what they are wanting, but more importantly, needing to get to. And I think this is something that going back to early days in my discussions with Qples team and TCB [ph], this was the direct and big believer and there's a lot of people that are going to be jumping on the bandwagon here in the short-term. And like I said, for us, we only benefit from this, and we're -- the gateway bridge, if you will, it's going to be very plentiful for us.
Dev Seidel: How does recent developments/complex [ph] in Europe impact your business and/or in Europe and worldwide from a short-term perspective?
Rob Anson: For me, it's a tough one. I'm of Ukrainian decent, I have family in the Ukraine. Quite frankly, it's hard to believe. But that being said, we continue to push forward, we've got partners that are affected, that we're looking to help and assist, and we'll continue to do so. It doesn't impact us greatly, directly, I would say; it's more so about focus on positivity. And I think we've all seen enough and witnessed enough for the last 2.5 years, and this to me is kind of the boiling [ph] point, but it doesn't impact our business, Devin -- for me, it's about -- hopefully, when they hear the world becomes a better place and a lot of things like are going on today's time, we do change.
Dev Seidel: I mean, we have about time for one more here. Now that COVID's coming to an end, how does this affect the company?
Rob Anson: As I said earlier, this is a great thing for us for many reasons because businesses are going to be able to full scale open as conferences and events and stuff, trade shows; a huge part of what was missing. Our venue management piece is continually evolving, and as I said earlier, the need now -- it's not just nice to have the need for digital transformation, is that -- it's paramount here, and this is extremely well positioned to do so. And why I'm very confident as to where we're headed here and focused on such. And as I said earlier, each day we look to get better and to move forward, and be part of the solution and not part of the problem.
Dev Seidel: Great. And that ends our Q&A section. I'd like to, first of all, thank you for all of our listeners and shareholders that were able to join us today to get a better understanding of the financial updates from both, Mark and Rob. But Rob, I'll pass it off to you for any final words before we sign off here for the day.
Rob Anson: Thanks for everyone for taking the time to join and for the questions. As I said, for us, we're focused on positivity and growth. And it might not be as fast always as people like but the one thing I can say is that, we're -- the business is not represented by current share base and what some of those have to say or think, it is what it is. And for us, we just continue to focus on strategy and execute it in a cumulative growth, and that's where our efforts are going, and we look to further create shareholder value throughout the remainder of the year and move to becoming cash flow positive. And that's really the only thing I focus on revenue growth and becoming cash flow positive. So, we're not going anywhere. Like I said, pain is only temporary and difficult times don't last forever. We've all gone through a lot of difficult times and continue to push. Like I said, I'm ever more focused than I am today. Obviously, not happy with what's happening globally, not just here at home, but focused on growth and development and execution; that's all I can do, and that's all I will do.
Dev Seidel: Great. Thank you, Rob. And for anybody that may have not been able to attend today, the recording will be available of this presentation at a later time. Thank you, and enjoy the rest of your day.
Mark Lotz: Thanks, Devin.